Jake Lawrence: Good morning and welcome to Scotiabank’s 2016 First Quarter Results Presentation. My name is Jake Lawrence; I’m the Senior Vice President of Investor Relations for the Bank. Presenting to you this morning is Brian Porter, Scotiabank’s President and Chief Executive Officer; Sean McGuckin, our Chief Financial Officer; and Stephen Hart, the Bank’s Chief Risk Officer. Following our comments, we’ll be glad to take your questions. Also in the room with us to take questions this morning are Scotiabank’s Business Line Group heads: James O’Sullivan from Canadian Banking; Dieter Jentsch from International Banking; and Mike Durland from Global Banking and Markets. Before we start the call and on behalf of those speaking today, I would like to refer you to slide number two of our presentation, which contains Scotiabank’s caution regarding forward-looking statements. And with that, I will now turn the call over to Brian Porter.
Brian Porter: Thank you, Jake and good morning. I’ll start on slide four. We are pleased to report a strong first quarter to our shareholders. This quarter’s earnings growth was again driven by good performances in our personal and commercial banking businesses, both here in Canada, and internationally. Our P&C businesses generated approximately 80% of our earnings. The Bank earned $1.8 billion in the first quarter, delivering diluted earnings per share of $1.43, up 6% year-over-year. Our return on equity was 13.8%. Looking at our capital position, the Bank remains well-capitalized with a Common Equity Tier 1 ratio of 10.1%. We are well-positioned to continue to invest in, and grow the Bank organically, and we have the balance sheet strength to selectively pursue acquisitions. We are also well-positioned to return capital to our shareholders. We have raised the quarterly dividend per share to $0.72, a 6% increase from a year ago. We are proud of our track record of delivering sustainable earnings, which allows us to consistently increase dividends for our shareholders. Before I turn it over to Sean to discuss this quarter’s results in more detail, I wanted to update our shareholders on the important steps we are taking to build an even better bank. As we have said consistently, we are focused on creating value for our shareholders, which by definition, requires we take a longer term view. To that end, in my letter to our shareholders this year, I laid out Scotiabank’s forward-looking strategic agenda. We made good progress advancing all of our priorities. But today, I want to update you on the progress we’re making in two of those areas. The first is our digital transformation. At Scotiabank, we have made great progress towards digitizing the Bank and building digital solutions to give our customers the best experience to risk. For example, we are now one year into an exciting new program that allows us to significantly reduce friction points in key customer areas and deliver the best on-boarding experience in the market. The program delivers solutions rapidly, using customer-centric design and agile methodology. Our Rapid Lab program is currently focused on several core customer journeys including mortgages, credit cards and day-to-day accounts, and allows us to on-board our customers with reduced turnaround times, increased convenience, and radically simplified processes. As we make it easier for our customers to do business with Scotiabank, we expect there to be revenue benefits. In addition, these improved processes also make things much easier for our employees, reduce manual efforts by up to 30%, significantly improving air rates and enhancing cross-sell opportunities. Our Rapid Labs are among the most important tools we are using to transform our customers’ experience. When we opened the doors of our digital factory this summer, hundreds of Scotiabanker’s from our Rapid Labs and many other parts of the Bank including technology and our business units will be working side-by-side to deliver digital solutions. Tangerine is another important part Scotiabank’s digital strategy. Tangerine is already widely recognized for simple on-boarding, leading customer experience, and innovative digital products. One innovation that we’re particularly excited about is interactive voice recognition, which allows us to authentic customers simplify and quickly. Tangerine has 2 million customers and is the market leader for Canada’s direct ready customers. We are poised to grab an even bigger share of the 12 million Canadians who are ready to do their banking, primarily through digital channels. The second priority I want to highlight is our evolving business mix. We are focused on building and deepening relationships with our customers. The evidence of this focus is apparent in the evolution of our balance sheet. I would like to highlight a couple points here. In Canada, we sharpened our focus on growing our payments business over the past few years. We made concerted efforts to improve our credit and debit card offerings. As a result, we increased our credit card penetration with Scotiabank customers from the low-20s to the low-30s, and we still have room to make further progress. This shift in business mix has contributed to the improved risk-adjusted returns we earn for our shareholders. We’re also making good progress on the liability side of our balance sheet across all business lines. We are focused on increasing customer deposit balances, which further deepens customer relationships and supports a concerted effort to reduce wholesale funding. As an example, in this past quarter, Canadian Banking had double-digit deposit growth in retail chequing and savings balances. This very strong growth reflects some improved product offerings such as the Scotiabank Accelerator Account combined with a greater focus on winning more core deposits. The bottom line is this, we are executing on our strategic agenda as we build an even better bank. We have the right people and strategies in place to navigate the challenging market conditions and create value for our shareholders. With that, I’ll turn it over to Sean to review this quarter’s performance.
Sean McGuckin: Thanks, Brian and good morning. I will begin on slide seven which shows our key financial performance metrics for the current quarter and comparative periods. As Brian mentioned, Q1 diluted earnings per share were $1.43, up 6% year-over-year. Revenue growth was very good, up 9% Q1 ‘15 with solid asset growth in Canadian Banking and International Banking. Revenues are positively impacted by foreign currency translation, higher fee income and trading revenues, as well as higher wealth management and insurance revenues as well as contributions from acquisitions. Partially offsetting this growth was lower net gains on investment securities, and lower underwriting and advisory fees. Our core banking margin was 2.38%, down 3 basis points year-over-year, driven by the low interest rate environment and asset mix changes with higher levels of liquid assets, partly offset by higher margins in Canadian banking. Expenses are up 12% year-over-year. Excluding the impact of acquisitions and negative impact of foreign currency translation, expenses were up 5%. The increase was primarily due to higher technology related expenses as the Bank continues to invest in its business. As well, business taxes were higher. Moving to capital on slide eight. As Brian mentioned, the Bank continues to have a strong sales position, the Common Equity Tier 1 ratio of 10.1%. During the quarter, the Bank generated net internal capital of $900 million. The Bank increased its quarterly dividend by 6% from year ago levels to $0.72 per share. The Bank’s Common Equity Tier 1 ratio declined from 10.3% to 10.1%, primarily due to higher capital charge for pension and the impact of acquisitions. Net capital generation was consumed by organic risk weighted asset growth and other capital deductions. Common Equity Tier 1 risk weighted assets increased $16 billion to $374 billion from Q4 ‘15. Adjusting for the impact of foreign currency translation and acquisitions, underlying risk weighted assets grew by 1%. The increase was due to broad based growth as well as some credit migration which had a 5 basis-point impact. Turning now to the business line results, beginning on slide nine. Canadian Banking produced a good start to the year with net income of $875 million, up 7% year-over-year. These results include the acquisition impact of a credit card portfolio, and details are summarized on slide 19. Loan volumes increased 4% year-over-year, driven by prudently managed double-digit growth in credit cards, auto lending and commercial banking. Adjusting for the Tangerine mortgage run-off book, loan volumes grew 6% from Q1 ‘15, reflecting our focus on increasing primary customer relationships and day-to-day banking business. Deposit balances increased 7% year-over-year. And as Brian mentioned, retail chequing and saving deposit balances were up strong 11% and 15% respectively. The net interest margin rose 19 basis points from Q1 ‘15, primarily due to a shift in business mix as well as the run-off of lower spread Tangerine mortgages. The acquisition of a credit card portfolio this quarter accounted for 6 basis points of the year-over-year margin increase. Our performance in wealth management remained solid this quarter with earnings up 4% year-over-year. Although AUM levels moderated to 4% year-over-year growth and AUA levels were flat versus the same period last year, reflecting weaker market conditions to start 2016. Provision for credit losses were up $29 million year-over-year due mainly to higher provisions in the retail portfolio, driven by growth in higher margin loans. The PCL ratio was up 3 basis points, well below the growth in our margins. Expenses increased 9% year-over-year or 6%, excluding acquisition impact. The balance of the increase was driven by higher technology, business investments, and salary increases. Canadian Banking’s reported operating leverage was flat to start the year but was slightly positive, adjusting for acquisitions. Turning to the next slide on International Banking. Net income increased 21% to $505 million compared to Q1 ‘15, a record performance. This performance reflected continued strong operating performance in Latin America, including loan, deposits, and fee income growth. The quarter also benefited from the positive impact of foreign currency translation, partly offset by a higher tax rate due to lower tax benefits this quarter. Our international business continued to deliver strong loan growth, up 19% year-over-year or 12% excluding the impact of foreign currency translation. Latin America continued its strong loan growth, up 17% on a constant currency basis in Q1 ‘15. This strong asset growth was more than supported by excellent deposit growth, up 27% versus the same quarter last year or 18% excluding the impact of foreign currency translation. The net interest margin declined 4.57%, down 14 basis points versus the same period last year. This decline was primarily driven by asset mix with higher growth and lower spared assets. The impact of acquisitions helped offset declining margins in Latin America. Looking forward, the modest benefit of recent rate increases in some of the countries we operate in, will take a few quarters before they start to materialize. Loan losses increased $6 million year-over-year but the loan loss ratio improved by 19 basis points to 114 basis points. The improvement was driven mostly by lower provisions in Latin America including Mexico and Peru, despite strong loan growth. On a risk adjusted basis, margins were stable year-over-year at 3.72%, as the lower loan loss ratio offset the margin decline. Expense growth was 17% year-over-year or 6% when excluding the impact of acquisitions and foreign currency translation. The balance was due primarily to business volumes and inflationary increases as well as higher business tax. Operating leverage was positive 0.9% or 4% excluding acquisitions. And we continue to target positive operating leverage for the year. Moving to slide 11, Global Banking and Markets. Net income of $366 million was down 9% from last year. Compared to the same quarter last year, we had lower contributions from equity, foreign exchange and investment banking. Loan losses were also higher this quarter, partly offsetting was the stronger performance in our precious metals business and the positive impact of FX translation. Trading revenues on a TEB basis increased from last year, primarily in our fixed income businesses, while equities were lower. Net interest margin was down 14 basis points year-over-year and down 2 basis points from last quarter due to margin compression, mainly in Europe and Asia. Total corporate loan volumes were up 24% versus Q1 of last year or up 10% excluding the impact of foreign currency translation. The growth was across our portfolios in Canada, the U.S. and Europe. The Asia trade finance reductions that commenced a year ago will largely conclude next quarter. Provisions for credit losses increased $41 million from last year, due mostly to provisions on acute energy related accounts. Expenses were up 9% year-over-year or up 4% excluding the negative impact of foreign currency translation. Higher salaries and technology costs were partly offset by lower performance based compensation. I’ll now turn to the Other segment on slide 12, which incorporates the results of group treasury, smaller operating units, and certain corporate adjustments. The results include the net impact of asset liability management activities. The Other segment reported net income of $12 million this quarter. This was down from $43 million in Q1 ‘15 and reflects lower contributions from asset liability management activities, partly offset by lower expenses and lower taxes. This completes my review of our financial results. I’ll now turn it over to Stephen, who will discuss risk management.
Stephen Hart: Thanks, John. The underlying fundamentals of the Bank’s risk portfolios remained stable this quarter. Our all bank loss ratio was 45 basis points, up 3 basis points quarter-over-quarter on an adjusted basis and up 3 basis points year-over-year. These levels remain well within our expectations. Before discussing the current credit metrics, I’d like to give you an update of our retail, corporate and commercial credit portfolios. In Canada, our retail delinquency rates and overall retail credit quality remained stable albeit we are seeing some regional weakness in Alberta. For context, Alberta represents 15% of our total Canadian loan book with the bulk of our exposure being well secured and 59% of those mortgages are insured. Our unsecured retail loans in the province are approximately $2.5 billion less than 1% of our total Canadian retail portfolio. In terms of customer activity in the region, we have not seen any unusual or unexpected growth in either secured or unsecured revolving credit. Turning to International, the retail credit performance leading indicators also remained stable. We operate a diverse number of portfolios across different geographies and some books are performing better than others but overall in excellent shape. We’ve made investments in our retail collection capabilities, which have strengthened our overall lending business and the credit performance in both Canada and International. Looking at our corporate and commercial loan books, the overall credit quality continues to be solid. This is evidenced by the size of the all bank watch list, which is basically unchanged from last quarter, as weakness in energy has been offset by improvements in other areas of the portfolio. The higher formations in the quarter reflected the classification of a small number of energy related accounts, specifically in the E&P and oilfield services sector, which we took provisions against as well in the quarter. I will have more to say on the energy portfolio specifically in a minute. Now, looking at the overall credit metrics, gross impaired loans were up 9% quarter-over-quarter or up 5% excluding the impact of the foreign currency translation. Over 70% of this growth is in our retail portfolio, mainly due to asset growth; the wholesale increase was primarily in the energy sector. Our net impaired loans as a percentage of our portfolio improved to 48 basis points down 2 basis points compared to a year ago. Looking at our market risk, which remains low, our average one-day all-bank VaR was $15.2 million, up $2.1 million from the prior quarter. Slide 15 shows the trend in loss rates over the past five quarters for each of our businesses. For context, 80% of our total PCLs relate to our retail businesses, both in Canada and International. Overall, at 45 basis points in Q1, the Bank’s loss rate remains relatively low and as I mentioned, well within our expectations. The increase in loss rates from prior periods was almost entirely in the Global Banking and Markets division where the PCL ratio increased to 27 basis points, up from 14 basis points last quarter and the very low 8 basis points in the prior year. As I noted earlier, the increase was driven by a small number of energy accounts. Canadian Banking’s PCL ratio was 26 basis points; this was up modestly from prior periods and in line with our Canadian peers and expectations for some increases as the asset mix evolves. Meanwhile, International Banking had a very stable loss rate quarter-over-quarter with improved performance compared to last year. Overall, the credit portfolios remain in good condition and are showing the resilience of our diversified operations, a high credit quality of our lending relationships and the effectiveness of our risk management practices. Turning to slide 16, which provides an update of our energy exposures, which have been actively managed over the past year, approximately 60% of our drawn portfolio is investment grade and that increases to almost 75% for the undrawn commitments. Our internal ratings, while taking into account the external factors, are performed on a continual basis, based on macro and company-specific factors, which provide, in our mind, a more robust proactive assessment. During the quarter, we downgraded approximately 10% of our energy portfolio companies, primarily in the E&P sector, adding nine names to our watch list; and we impaired, as I said, four facilities. The rating migration in the energy sector negatively impacted capital by about 3 basis points this quarter. Approximately 5% of our energy portfolio is on the watch list, up slightly from last quarter. The watch list consists almost entirely E&P and oilfield services, which are the areas primarily affected by the drop in oil prices. Our focus continues to be on a select portion of that E&P and oilfield services portfolio, which we’ve been working through on a name by name basis. Quarter-over-quarter, excluding the impact of foreign exchange translation, our total committed exposure actually declined by $600 million, in these three subsectors. It is important to note that we do not do subordinated lending and we bring senior in the capital structure. In fact for the E&P and oilfield service accounts that we are focusing much of our attention on, approximately two thirds have issued debt that are ranked below our senior position. On average, this debt is a multiple of the Bank’s financing. This demonstrates that unlike in prior downturns, the risk is further distributed away from the senior lender. There has been some interest in loan covenants in last week’s calls but frankly covenant breaches [ph] serve as an indicator of potential credit stress and any need for relief, facilitates the discussion between the Bank and the borrower. In these instances, the Bank works to be constructive with the borrower to improve the situation but we do not compromise our economic interest. Covenant relief is granted infrequently and if so in exchange for improvements to our lending position whether it’s loan reductions, improved security, tighter controls or higher prices. For accounts that do become impaired and interjector, [ph] we look to provision both early and appropriately and have a strong risk culture in one working [ph] with problem accounts. This is well evidenced across our full lending portfolio by comparing our total allowances to risk weighted assets, which is at the top end of our Canadian peers. As we’ve indicated previously, the Bank’s corporate and retail losses in a stressed environment with higher unemployment in Alberta and oil prices staying where they are today throughout the end of 2017, within our estimate add an additional 450 million to 550 million of PCLs for the Bank. We would not expect this to take place all in one quarter and would increase the all Bank PCL ratio between 5 to 10 basis points from the current level of 45. We remain encouraged by the high degree of investment grade loans in our energy portfolio. And as we have over the past two years, we will continue to proactively manage these exposures. With that, I’ll now turn the call back to Brian.
Brian Porter: Thanks Stephen. Before we open the call for questions, I’d like to comment briefly on each business line’s performance over the quarter and make some brief remarks on the outlook. As we noted earlier, Canadian Banking had a strong quarter. Our continued focus on deepening customer relationships and improving our business mix is hitting the bottom line with earnings up 7% year-over-year. These efforts resulted in strong volume growth in targeted areas, notably retail and commercial loans and deposits, and a more profitable business mix. Together with a recent credit card portfolio acquisition, these factors help to drive continued improvement in the net interest margin again this quarter. Over the course of 2016, we expect the continued shift in business mix to benefit asset yields and improve risk-adjusted margin. Our Canadian wealth management businesses also performed well with results up 4% year-over-year, notwithstanding a challenging market backdrop. After several strong quarters of double-digit growth, we are likely to experience more moderate growth for the balance of 2016. Commercial banking results were solid with double-digit asset growth supported by strong growth in deposits. And while the expense level in Q1 was elevated, as we continued to invest in improving our customer experience and drive operational efficiencies, our higher than peer revenue growth in this segment affords us the ability to make the necessary strategic internal investments while still delivering good bottom line results. Looking ahead, despite imbalances in regional performances across Canada, we continue to see good opportunities to grow Canadian Banking over the course of 2016. Turning to International Banking, as Sean noted, we delivered another quarter of earnings and we’re off to a good start in 2016. The strong results were delivered in large part by robust loan, deposit and fee growth from the Pacific Alliance countries of Mexico, Peru, Chile and Colombia. As we outlined in our recent Investor Day, we continue to see great potential from these markets, expecting growth in the 9% to 11% range over the medium term. Also contributing to the very good performance was the Caribbean and Central America, which continues to benefit from an improved economic environment and lower energy prices. International Banking also continues to experience very good credit performance, as we pursue growth in a disciplined manner. Over the course of 2016, we expect any PCL growth to be largely in line with asset growth. As we said before, our efforts and resources will be prioritized on the Pacific Alliance region, as we look to achieve greater relevance and presence in this important region. With economic growth in the 2.5% to 3.5% range, we remain highly confident that we can run profitable and growing operations in the region. As now today Sean assumes leadership for International Banking, we look forward to continued strong results from the division. Finally, in Global Banking and Markets the business delivered improved results this quarter. While results are down from a year ago, we are pleased with the improving performance. However, challenging market conditions including substantial volatility are likely to persist in the near-term. As Stephen noted, we expect there to be additional provisions for some of our loans in the energy sector. Notwithstanding these headwinds, we are encouraged by some of the recent trends we have seen in selected businesses, including our legal and some meaningful M&A transactions and equity offerings. As we look forward to the balance of 2016, we expect concerns about the global economy to persist. Here in Canada, we expect the second half of the year to be stronger than the first half and benefit from a strengthening exports economy. In our international markets, particularly the Pacific Alliance region, we are seeing positive signs across the region and expect economic growth to be between 2.5% and 3.5%. We are encouraged by our Q1 operating results with our P&C businesses here in Canada and internationally delivering good performances across several core areas. As such, we are confident that we are on track to deliver improving financial and operating results to our shareholders for the balance of this year. With that, I’ll turn it over to Sean for the Q&A.
Sean McGuckin: Thanks, Brian. That concludes our prepared remarks. We’ll now be pleased to take your questions. Please limit yourself to one question and then rejoin the queue to allow everyone the opportunity to participate in the call. Operator, can we have the first question on the phone, please?
Operator: Your first question comes from the line of Robert Sedran with CIBC. Please go ahead.
Robert Sedran: Hi, good morning. I just wanted to ask James about some of the personal loan growth that we’ve been seeing. It is -- continues to outpace the industry. I wonder if you can just give us a sense of the sort of geographic breakdown. I mean, is it basically market weighs [ph] the country or is there a specific region in which you’re surging? And then, if you could also contrast that with the mortgage growth, even ex-Tangerine it seems like it’s a little bit below where the market is and wondering if that’s conscious decisions or if it’s a competitive response?
James O’Sullivan: Sure. Thanks, Rob. I would say in terms of asset growth, we’re very much executing our plan. Our plan, as you know, includes delivering an improved customer experience, changing our business mix to deliver a higher margin including a higher risk adjusted margin, and finally, driving operational improvements which should result -- will result in an improved productivity ratio over time. So, we have been very much focused in terms of business mix and in terms of the asset side of the balance sheet. We’ve been determined to grow cards as part of our payment strategy, auto, as well as commercial. And if you look at those three asset classes in particular, Rob, cards are up 41% year-over-year that would be 15% ex Chase; auto is up 15%; commercial is up 11%. In terms of to give you sort of a regional perspective on it, I would say, and I think commercial is very good example of this, the business is very much being driven by B.C. and Ontario. And we’re fortunate of course that B.C. and Ontario represent in excess of 50% of this country’s GDP. So strength in those two regions, I think continues to bode well in terms of growing that business. Otherwise, I would say in terms of cards and auto, I wouldn’t point to any regional variances in particular other than in respect of cards and auto, we are increasingly focused on quality; it’s not just about quantity. And so, we have tightened up our credit in certain markets including those regions that are impacted by low oil prices, so perhaps a bit of a bias away from Alberta and a couple of other areas. Let me speak briefly to mortgages. What I would say on mortgages is that we’re very satisfied with our position in the market. We’re number three in the market. We have low single-digit growth in balances and we have modest margin expansion year-over-year. And I would say that’s not just an outcome; it’s very much a choice. We’ve been thoughtful and we’ve been deliberate about which asset classes we want to grow and at what pace. And we’re satisfied with our position in mortgages. Currently, as you know, it’s an intensely competitive business. And I would say on the variable rate side of the business, margins in particular are very, very compressed.
Robert Sedran: So, these trends in mortgages you’d expect to continue then?
James O’Sullivan: Absolutely, low single-digit growth in mortgages is very much our plan.
Operator: Your next question will come from the line of Meny Grauman with Cormark Securities. Please go ahead.
Meny Grauman: Just to follow up on Rob, wondering if you could give us some numbers in terms of what kind of asset growth you’re seeing in Alberta specifically, specifically in the autos and the credit cards? Is that something you can share?
James O’Sullivan: I think our auto book in Alberta would be declining, it’s not increasing. Again that’s a choice, it’s not just an outcome. I don’t have the numbers for cards. Stephen, do you have a perspective on that?
Stephen Hart: I don’t have a trend line. As I indicated, the unsecured lines which include cards is about $2.5 billion. That number really hasn’t moved over the last quarter.
Meny Grauman: And then, specifically in the auto book in the oil affected regions, there was another bank that talked about some of the credit issues emerging in that book specifically. Wondering if you could talk to that, in terms of what you’re seeing specifically in that portfolio?
James O’Sullivan: Yes, I’d be happy to. Let me make a few comments on auto. First, I want to reiterate that we very much like this business, overall. It’s important to our customers; it’s a major item that they purchase frequently; and we’ve been doing this for a very long time and believe we’re good at it. So, we have contracts currently with nine of the OEMs, six of them are exclusive. I think it’s important to point out that our primary focus -- our primary focus is on new cards and sometimes on arrangements. And we view that as actually quite risk mitigating over a cycle compared to other types of lending you might do here. So, the business has performed well. If we look at it currently, I would say it’s performing within our expectations. But clearly, it’s impacted by both, intense competition and indirect energy impacts. And as a result, we are seeing margins compressing and we’re seeing PCLs increasing. So, we’re focusing -- refocusing this business really on two things. So, the first is risk adjusted margins, and the second is cross-sell. So, the team, as we speak, they’re busy on pricing; they’re busy on the quality of bookings; and they’re actually launching pilots, which I think are quite important to really test our ability to cross-sell and deepen the client relationship.
Meny Grauman: And then just if I can ask another question on the international business, you talked about the shift in business mix impacting the margin. I am wondering, if you see any need to mitigate some of that or do you have the need or do you have the ability to mitigate some of that change in business mix, in Latin America?
Stephen Hart: Meny, it’s Stephen here. The modest decline is something that’s well within our range of expectations. And we see the margin strengthening over the next couple of quarter as central bank rate increases and re-price to the asset and liabilities. So, we certainly believe this is manageable. And as you can see, we’ve earned through the margin with significant volumes and our expense growth to more than offset.
Operator: Your next question comes from the line of Gabriel Dechaine with Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Couple of questions for Steve or James. You talked about the in-quarter impact of credit downgrades on your core Tier 1 ratio. Could you tie in the stressed scenario, what that would mean to our CET1 from all the downgrade that you anticipate? Then, you talked also about the unsecured lending exposure in Alberta of 2.5, what about the auto portfolio? I might have missed that?
Stephen Hart: Thanks Gabriel. As it relates to our stress test, we expect over the two-year period that the movement could be up to a maximum of 30 basis points to the day one ratio, as I said that would spread out over the two years, as the losses came in and as we continue to downgrade. It’s not really the losses; it’s the downgrade of the portfolio that affects it more than anything else. As it relates to the credit cards, actually in Alberta, as I said between cards and unsecured lines, it’s 2.5; in the auto side, it’s running about a little over 4, 4.2 billion and as we indicated before that kind of flat lining at the moment. And as noted, you didn’t note it earlier but I have in previous calls, we set up about six to nine months ago and enhanced collections teams specifically on the autos as well as one for the cards. So, we’ve been on top of this for some time and that’s really helping to improve our returns at the end.
Gabriel Dechaine: In that stressed scenario, what are you looking at loss rates, are you baking into those portfolios, and the corporate…
James O’Sullivan: The individual energy portfolio, if you take a look at our current five-quarter run rate for energy, we’re probably around 78% basis points now that we’ve experienced cumulatively and we expect that to go up. But historically, if you look back the maximum, it’s been about 200 basis points in 2000 and 2001; we’re expecting something a little higher than that in that particular industry. But, as we mentioned on the call, the 45 basis points, all-bank could go up 5 to 10 basis points.
Stephen Hart: Yes, on all revenue basis.
Gabriel Dechaine: I understand that. And, how about the consumer stuff?
Stephen Hart: The consumer stuff? That’s part of 550. [Multiple Speakers]
Gabriel Dechaine: No. But like the numbers you gave on the energy, are the 78 going up to 200 kind of thing. Maybe, I’ll follow offline. I just want to think anyone -- one more though. Spring is around the corner, it felt like at this week and anyway, the redetermination process. Can you give us some sense of what your -- what’s in the cards there? The credit line is being cut by x percent kind of thing and what other adjustments you might be contemplating with your borrowers?
Stephen Hart: Sure. Well, we’re having, obviously from the last credit redetermination, as we indicted, about 50% of our lines decrease, 50% held. The lines that decrease last fall were probably down about 20%. We’ve recast obviously the price decks, based upon the current scenarios. And they’ll come into effect in the next month and a half, two months sort of thing. So, we would expect at least a like reduction in lines.
Gabriel Dechaine: Probably, not a 50-50 split though?
Stephen Hart: It will vary; really depends -- and what we found is quite frankly a lot of our clients have been resilient in continuing production, while their CapEx may be slowing. The production actually of the North American fields is almost up from what it was last year.
Operator: Your next question comes from line of Steve Theriault with Bank of America Merrill Lynch. Please go ahead.
Steve Theriault: Thanks very much. Just, first a couple of follow-ups for Stephen. First, on capital, looking at the regulatory capital supplement; there is about a $3 billion decline in RWA from methodology and policy changes. Can you just outline that a bit for us?
Sean McGuckin: I’ll take that. There is just -- we have ongoing refinements or models, and this is just one model that’s on the corporate lending side that’s reduced some of the risk rates.
Steve Theriault: Corporate lending, across a broad variety of factors.
Sean McGuckin: Yes, across the whole corporate lending book. Yes.
Steve Theriault: Okay. And then, just going back to oil and gas for a second. Stephen, in your prepared remarks, I think it was you talked about 5% of the portfolio being on the watch list. Wondering in your stress test, what percent does that go up to in terms of percent of the oil book on the watch list?
Stephen Hart: We didn’t actually key on the percentage to be honest, because you’re working on the aggregate down. We basically took most of the watch list in the stress test and moved everything down at least three grades.
Steve Theriault: Okay.
Stephen Hart: So, I don’t have that number right on hand, I can get it for you.
Steve Theriault: Okay. I may follow-up. And then just lastly, turning to the JP Morgan deal; just a little detail there. I saw in the notes there is $230 million credit mark, used about $40 million in the quarter. I think it was $39 million. Is that how we should think about the normalized credit losses on the book? It seems a bit high at 9% if I take that $39 million annualized over the whole portfolio. So, maybe just a little detail around what you expect on the credit side there. And in a couple of years, does that grow or is part of that going to run off, maybe just give us a sense for how that -- how you project that over the next little while?
Sean McGuckin: I’ll speak to the credit mark. We expect that remaining credit mark over $230 million to be run off about 50% this year and about 20% in ‘17 and to continue as into ‘18 and ‘19 at a similar 15% to 20% rate. In terms of the actual card portfolio, James, do you want to give any color on that?
James O’Sullivan: Yes, maybe just a couple of thoughts. We’re very pleased to welcome to Jake cards team aboard. We’ve got customers; we’ve got card balances; we’ve got a great platform and we’ve got some good technology. So, we’ve got in excess of 2 million active customers there, about $1.7 billion of receivables and 600 employees, importantly with expertise and fraud, collections, recovery and customer service. So, so far, we’ve received over 500,000 new Scotiabank momentum MasterCard have been activated today; we’re very, very please with that. The portfolio, as you pointed out, is runoff in nature. So, in Q1, we earned $15 million. It will stabilize at a lower level. My expectation is that stabilization will occur late 2017, maybe early 2018 and for a number, maybe it’ll stabilize in the $10 million a quarter kind of range. But so far, we’re very pleased with the acquisition and happy to welcome that new team and those customers aboard.
Operator: Your next question will come from the line of Peter Routledge with National Bank Financial. Please go ahead.
Peter Routledge: Thanks. Questions for Steve. Thanks for your comments on being subordinate -- or having debt subordinate to your position in your oil and gas loans. But, how does that subordination impact your assessment of loss given default and probability of default?
Stephen Hart: Well, obviously the probability of default is based on the total debt.
Peter Routledge: So, it goes up presumably…
Stephen Hart: The probability of default will be -- it will be based on total leverage, our actual loss given default will be based on our senior leverage, which, as I indicated is significantly less in those cases. So that’s why you can’t expect that we will be having formations and restructurings going forward over this next quarter, as this plays out. However, we think these restructurings will end up with most of the banks as the senior level coming through.
Peter Routledge: So, the worst senior loan recovery rate over the last 25 years according to Moody’s is about 50%. What are your expectations relative to that admittedly stressed given default?
Stephen Hart: And that 50% is based on default -- secured and unsecured?
Peter Routledge: Yes.
Stephen Hart: That’s not the -- and I would agree that historically our unsecured lines probably run average in that 40% to 50% range. However that’s not what we’ve experienced when we’ve been in a secured reserve based environment; it’s been substantially lower than that. However to be honest, to be open on the stress test, we do assume a higher loss rate than we have historically.
Peter Routledge: And then on your undrawn commitments on page 16 of $14.1 billion, what are your assumptions on how much of that gets drawn in advance of default; so, what are your -- exposure at default assumptions, in other words?
Stephen Hart: Exposure default, we usually take for the non-investment grade portion of it. We assume at least 75% gets drawn -- sorry, 50% gets drawn and for the investment grade, we assume 75% gets drawn.
Peter Routledge: And then one other just question on the whole oil and gas portfolio. Every now and again, we see a going concern oil and gas company issue a press release and say we got covenant relief. And sometimes your peers are involved in that press release, sometimes it’s Scotiabank. Some folks will argue that is the sign that the banking question is extending and pretending and there’re big losses coming down the pike. What would be your response to that argument?
Stephen Hart: I think that’s why I opened it up in remarks right at the beginning. So, I am happy we can discuss it offline but I think we all know that whatever we do, we do for the benefit of the Bank and our shareholders.
Peter Routledge: And so that -- those actions you’re taking with a mind to limiting losses?
Stephen Hart: I am taking the mind to strengthen my position, yes.
Peter Routledge: And then how common is there is a deal, in press release from last January where you did have covenant release but you also lowered the commitment by 25%. Is that basically the quid pro quo with these clients who are maybe struggling through difficult period, covenant relief or dropping your commitment?
Stephen Hart: As I indicated in my remarks, we’ll use it to reduce the amount, to shorten the term, to improve the security. In a rare case -- pricing isn’t where I am looking forward at that point; I’ll take it if I get it. So, I am looking to improve my secured position.
Operator: Your next question comes from the line of Mario Mendonca with TD Securities. Please go ahead.
Mario Mendonca: First, a question for Mike Durland. The growth of the corporate book has been very strong. And I think Sean, you gave us an idea that it was about 10% growth year-over-year excluding FX. You also said that it was Canada, U.S. and Europe. What I am trying to understand is why is it that for Scotia and frankly all of the Canadian banks, the corporate loan growth has been so good? Are there particular sectors you can point to, of course excluding FX, any particular sectors or why has it suddenly been so strong given the de-emphasis on corporate lending, say only just a few years ago?
Mike Durland: Yes. So, I would say a couple of things: One, I would say for Scotia, our loan growth is a little bit of a catch up. I think that we had slower loan growth for a period of time in that business. So, we’ve been focused on reengaging with relationships that we’ve had for a long-long time, uptiering ourselves with those relationships. And that has reduced a very strong growth trajectory which we’re very pleased about. In terms of the sectors, it’s very broad based. One of the sectors that we’re doing very well in is the infrastructure sector. We have a very strong platform in that business across the banks, domestic and international platforms. So that’s something that we’re quite pleased with. But, it’s been very broad. And I would articulate it as delivering the bank to a customer and very rich focused on relationships that have long-long time and really working hard to uptier ourselves with those relationships.
Mario Mendonca: And Mike, why do you figure that Bank is sort of reengaging itself with these old relationships?
Mike Durland: Why do I think we are?
Mario Mendonca: Yes, because you had it for a while and now you are again. So, something’s changed that’s made you want to reengage with these relationships?
Mike Durland: Well, I think we looked at our strategy couple of years ago, Brian and I sat down and looked at it. We thought that we had leveled out in terms of our relevance to some of our important relationships. We have a big bank, a strong bank, a great reputation, great brand in the market. And we have a strong cross-sell capability and we thought that that part of the business lagged the growth of our cross-sell capability and presented an opportunity for us. So, we have been very focused on engaging in conversations, presenting to our customers the strength of our platform. And that conversation has been extremely positively received. It will take time, it’s taking time. We started this a couple of years ago; really the results are just starting to appear now. But, there is good momentum but it’s high quality momentum. And we’re not talking about going from the eighth bank to the first bank. We’re just talking about slowly deepening those relationships, demonstrating our capability, earning the trust. And I think it’s very important strategic imperative. And I know that Dieter and others will continue to focus on it.
Mario Mendonca: Could we go to Stephen again? On the -- all your comments around subordination and where Scotia and the banks are in the capital structure and especially your comments on the covenant relief were important to me and admittedly somewhat eye-opening as well. Like I thought, I was learning something from this. Let me ask one other relation question about the covenant relief. We all know that it happens, what would be helpful to understand is how pervasive. You called in frequent. Is that -- would it be fair to say that it’s a less than 5% of the portfolio at this time or perhaps less than 10% of the portfolio?
Stephen Hart: So, I would say on the aggregate, all bank portfolio that’s probably the right number. Obviously as we’re growing through with the energy sector and they are having difficulties, you would expect in this current environment, it would be a higher percentage. And you’ve got to understand, I mean we’re looking at a number of different financial ratios, which are set up under different circumstances. So, financial covenants are set to trip well before the company defaults. That’s the whole point of the early warning system. So just because someone trips the covenant doesn’t necessarily mean they’re seconds away from default; it means obviously their business model isn’t quite doing what they thought it was going to do when we originally went into the loan. And so we have to sit down and readdress to see what their business model creates out now.
Mario Mendonca: So, it would be infrequent as it relates to the entire book of loans, Scotia’s entire book, but it would be frequent as it relates to the oil and gas sector. Is that fair?
Stephen Hart: I would say that obviously at this point in the cycle, we’re spending more time negotiating with all our clients in your energy sector. Yes.
Operator: Your next question will come from the line of Doug Young with Desjardins Capital Markets. Please go ahead.
Doug Young: Just a few -- just want to kind of go back to a few things; I guess Dieter, on the International side on the NIM, you say you anticipated to increase as you move through fiscal ‘16. Is the 455 to 475, kind of range that you’ve given before, is that still relevant or is that range changed in your view?
Dieter Jentsch: That’s a medium-term target. We’re going to see the next few quarters, see our [indiscernible] re-priced to the central bank rate increases that we saw in Mexico and Peru. That’s going to take some time. And so we’ll anticipate, we’ll move the margin up over the next foreseeable quarters.
Doug Young: So, when you say medium-term, are you thinking it’s going to move back towards that range, but probably not in...
Dieter Jentsch: Yes, Q3, Q4.
Doug Young: Q3, Q4?
Dieter Jentsch: I would add on this and I emphasize as the teams have continued to earn through the margin, I mean good volume watching their costs, they’re running very good banks and we’re returning good value to shareholders in terms of net income increases. So, we’re running through what I would say a very modest margin compression, which is less than 2% of the overall number.
Doug Young: Yes. And I just, Dieter, I think you mentioned credit migration had an impact on CET1 ratio and on the PCL ratio, and I apologize I missed those. Can you repeat what those were?
Stephen Hart: That’s 5 basis points on the Common Equity Tier 1 ratio this quarter. And in terms of -- sorry, was that just on provision for credit loss?
Doug Young: Yes. Was there an impact on migration there?
Stephen Hart: No, not really. We’ve got some higher specific provisions, but that’s not really so much migration. We had accounts for ultimately from watch list into impaired loans, but that’s how to think that from a provision standpoint.
Doug Young: Okay. And then just lastly Brian, your credit remarks, you said you’ve got strong balance sheet to selectively pursue acquisitions. You’re sitting at 10.1% CET1 ratio. Just trying to kind of think about those two points and where you want a run from a CET1 perspective? Thank you.
Brian Porter: Yes. I’ve been asked that question a number of times and I’d answer it the same way as, we could dip a little bit below 10 for something that’s on strategy that looks attractive. But, we’re doing a lot of work around here in terms of RWA and describing our RWA that’s a continuous process. We had 15 basis points against our capital this quarter on the pension plan. We would expect this market to normalize to normalize a bit here, which expect them to do their own add back. So, in terms of acquisitions, we continue to monitor the marketplace. And if we do anything, it would be likely done purchasing the Citibank assets in Peru, Costa Rica, Panama; I would view them as tuck-ins, incremental acquisitions, nothing transformational.
Operator: Your next question will come from the line of Sohrab Movahedi with BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Actually two parts of the last question. One, Brian, you were very clear about the transformation the Bank has been going through. You’ve talked about the investments you’re making from an investment -- from a technology perspective. I wonder if you could comment as to whether or not the current quarter expenses for example would be reflective of the type of run rate expenses you would be willing to run at balance of here, as we make that transformation.
Brian Porter: In terms of just expenses, what you’ve seen this quarter would be a little higher than what we’d expect, in the norm you will see -- we’ve had a lot of expenses with some technology initiatives from a regulatory standpoint. We would expect those to start to burn off in the balance of 2016. And candidly, as I said in my comments, there is a couple technology initiatives that were customer focused that we wanted to move ahead in 2016, regardless of economic condition. And we’ve gone ahead done those. And as I’ve said in my comments, we’re running through them with strong asset growth in the Canadian bank. So, expense levels will tend to moderate a bit from here.
Sohrab Movahedi: And any updates on the Thanachart file?
Brian Porter: Nothing that I can comment on.
Jake Lawrence: Thank you. I’ll just turn over to Brian for some very brief closing remarks.
Brian Porter: Thank you all for your participation today. Before we close, I’d like to take the opportunity to recognize Mike Durland for joining us on his last call this morning. Mike has been with the Bank for 20 years and has been a key member of our team here at Scotiabank. And Mike has lots to be proud of in terms of his contribution to the capital markets business and the Bank overall. And I think that on behalf of the team, Mike, you represent the best of Scotiabank’s culture in terms of being a community leader and philanthropist, you’ve served the Bank exceedingly well. And on behalf of the team here and we want to wish you and Katherine continued success and good fortune.
Jake Lawrence: Thank you very much for participating. We look forward to talking to you next quarter.
Operator: Ladies and gentlemen, this concludes today’s call. Thank you for your participation. You may now disconnect.